Executives: Rudy Sankovic - Head of Investor Relations Bharat Masrani - Group President, Chief Executive Officer, Non-Independent Director Colleen Johnston - Group Head of Finance, Sourcing and Corporate Communications and Chief Financial Officer Mark Chauvin - Group Head and Chief Risk Officer, Risk Management Tim Hockey - Group Head of Canadian Banking, Auto Finance and Wealth Management, TD Bank Group , President and Chief Executive Officer, TD Canada Trust Mike Pedersen - Group Head of U.S. Personal and Commercial Banking, TD Bank Group and President and Chief Executive Officer, TD Bank US Holding Company, TD Bank, N.A. and TD Bank USA, N.A. Riaz Ahmed - Group Head Insurance, Credit Cards and Enterprise Strategy
Analysts: Gabriel Dechaine - Canaccord Genuity Steve Theriault - Bank of America Meny Grauman - Cormark Securities Sohrab Movahedi - BMO Capital Markets Robert Sedran - CIBC World Markets Sumit Malhotra - Scotia Capital Peter Routledge - National Bank Financial Mario Mendonca - TD Securities Darko Mihelic - RBC Capital Markets
Presentation:
Operator: Good afternoon, ladies and gentlemen. Welcome to the TD Bank Group's fourth quarter 2015 investor presentation. Please be advised that this call is being recorded. I would now like to turn the meeting over to Mr. Rudy Sankovic, Head of Investor Relations. Please go ahead, sir.
Rudy Sankovic: Thank you very much, operator. Good afternoon, everybody. We will begin today's presentation with remarks from Bharat Masrani, the bank's CEO, after which Colleen Johnston, the bank's CFO will present our fourth quarter operating results. Mark Chauvin, Chief Risk Officer, will then offer comments on credit quality after which we will invite questions from pre-qualified analysts and investors on the phone. Also present today to answer your questions are Tim Hockey, Group Head Canadian Banking and Wealth Management, Mike Pedersen, Group Head U.S. Banking, Bob Dorrance, Group Head Wholesale Banking and Riaz Ahmed, Group Head Insurance, Credit Cards and Enterprise Strategy. Riaz is also responsible for the Capital and Treasury activities at the Bank. Please turn to Slide 2. At this time, I would like to caution our listeners that this presentation contains forward-looking statements. There are risks that actual results could differ materially from what is discussed and that certain material factors or assumptions were applied in making these forward-looking statements. Any forward-looking statements contained in this presentation represent the views of management and are presented for the purpose of assisting the bank's shareholders and analysts in understanding the bank's financial position, objectives and priorities and anticipated financial performance. Forward-looking statements may not be appropriate for other purposes. I would also like to remind listeners that the bank uses non-GAAP financial measures to arrive at adjusted results to assess each of its businesses and to measure overall bank performance. The bank believes that adjusted results provide readers with a better understanding of how management views the bank's performance. Bharat will be referring to adjusted results in his remarks. Additional information on items of note, the bank's reported results and factors and assumptions related to the forward-looking information are all available in our Q4 2015 report to shareholders. With that, let me turn the presentation over to Bharat.
Bharat Masrani: Thank you, Rudy and good afternoon, everyone. As Rudy mentioned, Colleen will be up shortly to discuss our financial results in detail, but let me start by sharing my perspectives on our performance. Overall I am pleased with our results this quarter. The bank generated EPS of CAD1.14, up 16% from a softer quarter in the prior year. Good volume growth, along with positive operating leverage and a stronger U.S. dollar helped drive our results. As expected, we saw increased credit provisions, but quality remains strong. Our full-year EPS of CAD4.61 was up 8%, a good outcome in mixed market conditions. These results were driven by revenue growth across all of our businesses along with stable credit quality and improvements in productivity. We ended the year with CET1 of 9.9%. We continue to have strong capital leverage and liquidity ratios and today we announced a CAD9.5 million share buyback program in 2016, subject to regulatory approvals. This is to offset dilution from the dividend reinvestment plan and issuance related to stock options. Let's take a closer look at each of our business segments. Canadian retail earnings were up 8%, driven by growth in personal and commercial banking and insurance, strong asset growth in wealth and a healthy increase in loan and deposit volumes. We delivered good operating leverage and credit quality across all products remains high. TD continues to stand out as the brand of choice in the marketplace. J.D. Power recently awarded TD Wealth top honors among the big five banks in its Full Service Investor Satisfaction Survey and Ipsos recognized TD as the best bank in customer service among the big five. 2015 marked the 11th consecutive year that we received this award. Our U.S. retail earnings were up 5%. We continue to deliver above-average volume growth and good expense management while maintaining solid credit quality. Our U.S. wealth business has good momentum exceeding CAD100 billion in assets under management for the first time. This quarter, we completed our acquisition of Nordstrom's Visa and private-label card portfolio. This builds upon our leadership position in the North American credit card business. What's more? TD Bank, America's most convenient bank, continues to earn accolades in the marketplace. Money magazine named us the best big bank in America for the third year in a row. And for the second time, J.D. Power ranked TD as the best small business bank in the Northeast. On both sides of the border, our retail businesses are facing margin pressures due to the prolonged low interest rate environment. It is difficult to predict exactly when rates will rise and at what pace. Until they do, I am confident that our diverse business mix and business model centered around organic growth will continue to drive positive results. TD securities had a very good year as well. Full-year earnings were up 7%, driven by solid trading results and strong loan growth. In Canada, we continue to win more key deals. And south of the border, we are seeing good progress in growing our corporate, government and investor client businesses by leveraging our local scale and network. The U.S. represents a significant growth area for our wholesale business. In 2015, TD made progress on the expense front and delivered positive operating leverage despite the low growth environment and continued investments to drive future growth. The difficult measures we took this year to permanently reduce our cost structure and increase expense discipline were necessary and effective. We took this step to streamline our processes, add capacity to invest in the future and moderate our ongoing expense growth. Most importantly, the organizational review which is largely behind us, will enhance our competitiveness by making us more agile and bring us closer to the customer. Now let me comment on our three key priorities for 2016. First, we will focus on organic growth. We have growth opportunities across all of our businesses and a proven track record of delivering against them. In Canadian personal and business banking, we will take market share in underrepresented products and geographies. In wealth, we will reaffirm our leadership in direct investing and accelerate our growth initiatives to capture share in the mass affluent and high net worth segments. In the U.S., we are well positioned to benefit from an improving economy. We expect to continue outgrowing the competition driving profitability, both by attracting new customers and deepening relationships with our existing base. And in TD Securities, we will further leverage our brand and capabilities to target key segments and grow our U.S. presence. Second, we will continue to adapt and innovate. New technologies provide us with opportunities to extend our leadership position in service and convenience. TD will lead new initiatives, make new investments and form new partnerships in the digital space over the coming years. Our focus will remain on providing our customers with a truly seamless experience wherever, whenever and however they want to bank. To this end, we will further modernize and simplify our information technology infrastructure and invest in our omnichannel capabilities. You will also see our retail space adapt in innovating ways that help us enhance our personalized advice and human experiences. This is what helps differentiate TD, both from traditional and nontraditional players. We have the high-tech high-touch bank. Finally, we will remain relentlessly committed to improving productivity. We will further simplify our processes, optimize our physical distribution costs and improve our sales efficiency. These efforts will free up more of our people's trying to serve TD customers and clients and free up more of our bank's resources to reinvest in our growth strategies. Let me now comment on the economic environment and what it means for TD going forward. In Canada, we expect modest GDP growth of around 2%. Sustained low energy prices is a headwind to the economy and despite that our business model positions us for growth. In the U.S., robust spending in domestic sectors is expected to offset some weakness in exports, which on an overall basis should position us for continued growth and outperformance. When it comes to earnings growth outlook, our aspirations have not changed. Our objective remains to deliver 7% to 10% EPS growth over the medium-term. For 2016, we expect earnings to benefit from strong growth in loans, deposits and wealth assets, prudent expense management and the likely impact of a stronger U.S. dollar and possible U.S. interest rate hikes. However, while credit quality is expected to remain strong, provisions will likely normalize and we will see a higher effective tax rate. On balance, it is difficult to see how we will get into our medium-term range in 2016. To conclude, I couldn't be more proud of nearly 85,000, TD bankers around the world who continue to deliver for our shareholders year-in and year-out. Thank you for your efforts. With that, let me turn it over to Colleen.
Colleen Johnston: Well, thanks Bharat and good afternoon, everyone. Please turn to slide four. Before we look at the fourth quarter in detail, let's start with a brief review of 2015. For the full-year, total bank adjusted net income was CAD8.8 billion, up 8% from 2014. Adjusted EPS was $4.61, also up 8%. Our retail businesses had a great year. Canadian retail delivered strong earnings growth of 8%, driven by good growth in loans, deposits and wealth asset, net of margin compression, lower credit losses, higher insurance earnings and positive operating leverage. U.S. retail earnings grew 21%, reflecting good organic growth and the stronger U.S. dollar. In U.S. dollars earnings grew by 5% due to strong loan and deposit growth, steady credit performance, good expense management and a lower effective tax rate, partially offset by margin compression and lower security gains. Wholesale banking earnings increased 7% this year, due largely to strong top line growth. The corporate segment loss increased in 2015, due largely to nonrecurring positive items in 2014. We were pleased to achieve positive operating leverage for the year. We finished the year with a CET1 ratio of 9.9%. Overall, a good performance from our businesses in 2015. Please turn to slide five. This quarter, we delivered adjusted EPS of CAD 1.14, up 16% year-over-year. The quarter reflected strong results for Canadian and U.S. retail up 10% and 6%, respectively. Wholesale delivered earnings growth of 23% versus a soft Q4 in 2014. The corporate segment loss posted a loss of CAD 161 million. We continue to benefit from a stronger U.S. dollar. Adjusted total revenue increased 11% year-over-year, net of claims or 3.5% excluding FX and acquisitions, led by good loan deposit and wealth asset growth, higher insurance premium growth and higher fee-based and trading revenue. Growth was partially offset by margin compression. Adjusted expense growth was 7% year-over-year, or down 1.1% excluding FX and acquisitions. Quarter-over-quarter, expenses rose CAD62 million on the same basis. We achieved strong positive operating leverage in the quarter. Overall, a strong finish to the year. Please turn to slide six. This slide presents our reported and adjusted earnings this quarter with the difference due to four items of note. This quarter, we completed the second phase of our productivity review representing a CAD349 million pretax restructuring charge. I will comment further on this later in my presentation. We have also incurred CAD51 million charge after-tax related to the Nordstrom transaction. Please turn to slide seven. Canadian retail delivered a strong quarter with adjusted net income of CAD1.5 billion, up 10% year-over-year. The increase was driven by continued good loan and deposit volume growth, wealth asset growth, lower credit losses, higher insurance earnings and good expense management. Loan and deposit growth continued at a good pace in Q4 2015. Total loan growth was 5% year-over-year with real estate secured lending volume up 5%, business lending growth up 9% and auto lending up 16%. Deposits increased by 6% due to strong growth in core checking and savings accounts, which were up 10%. Business deposits grew 5%. In addition, wealth management assets were up 7%, mainly driven by new client money. The margin declined for basis points quarter-over-quarter, primarily due to deposit margin compression and seasonal factors, very similar to our experience in last year's Q4. We expect margins to continue to remain under modest downward pressure, depending on product mix and competitive factors. PCLs decreased 12% year-over-year due largely to business banking PCLs which declined CAD26 million year-over-year, driven by higher recoveries. Adjusted expenses were flat versus last year, reflecting productivity savings from strong expense management, partially offset by higher revenue-based compensation in wealth. For fiscal 2015, Canadian retail produce 135 basis points of positive operating leverage when insurance claims are netted from revenue. Overall, a strong result for Canadian retail. I should note that in 2016, we expect lower tax benefits in our insurance business of CAD30 million to CAD35 million per quarter due to legislative tax changes. Please turn to slide eight. U.S. retail, excluding TD Ameritrade, posted adjusted earnings of $407 million, up 6% from Q4 2014. Results for the quarter reflected strong organic volume growth and a lower tax rate, partially offset by higher PCLs. The fourth quarter included one month of the Nordstrom acquisition. Revenue increased 6% year-over-year due to strong volume growth, broad-based fee growth and the addition of Nordstrom, partially offset by margin compression. Strong loan and deposit growth continued in the quarter. Total loan growth was a strong 12% year-over-year with a 5% increase in personal loans and a 17% increase in business loans. Average deposits increased by 7%. Margin increased nine basis points quarter-over-quarter, with just over half of the increase attributable to the acquisition of Nordstrom's credit card portfolio. The balance of the increase was driven by balance sheet mix and accretion. We expect margins to remain under modest downward pressure in 2016. PCL increased 47% year-over-year due mainly to provisions related to the flooding in South Carolina and the Nordstrom acquisition. Expenses increased 5% year-over-year, mainly due to the impact of Nordstrom, higher legal costs and investing for business growth, partially offset by ongoing productivity savings. Earnings from our ownership stake in TD Ameritrade in U.S. dollars increased 9% year-over-year due primarily to strong asset growth and higher transaction revenue. Overall, a strong result from the U.S. bank this quarter. Please turn to slide nine. Net income for wholesale was CAD196 million, up a strong 23% from a soft quarter last year. Revenue increased 10% year-over-year, reflecting higher trading related revenue, corporate lending growth and the positive impact of foreign exchange, partially offset by lower debt and equity underwriting fees. Prior year results included a reserve build for FVA. Noninterest expenses were up 2%, driven primarily by the impact of foreign exchange and higher operating expenses, partly offset by lower variable compensation. ROE this quarter was 13%. Please turn to slide 10. The corporate segment posted an adjusted loss of CAD161 million in the quarter compared to a loss of CAD165 million in the same period last year. The slightly lower loss was a result of lower net corporate expenses, partially offset by higher incurred but not yet identified credit losses due to higher loan volumes and some modest credit migration. Please turn to slide 11. Basel III Common Equity Tier 1 ratio was 9.9% in the fourth quarter versus 10.1% in Q3. The decrease was driven primarily by the impact of the Q4 restructuring charge and growth in RWA due to strong loan growth in wholesale and the U.S., including the acquisition of Nordstrom. Both our leverage and liquidity ratios are consistent with last quarter. We announced our intention to launch an NCIB for 9.5 million or approximately 500 million of common shares subject to regulatory approval. This is primarily to offset the share issuance for the dividend reinvestment plan and stock option exercises. Overall, we remain well-positioned for the evolving regulatory and capital environment. Please turn to slide 12. With respect to the restructuring charge announced today, the CAD243 million after-tax amount reflects the second phase of our productivity review which was first recorded in the second quarter of 2015. Similar to Q2, the second phase of the review focused on three key areas, process redesign and business restructuring, retail branch and retail real estate optimization and an organizational review. The expected ongoing annual savings from the restructuring are approximately CAD600 million once fully realized in 2017. Some of this will be reinvested back into the business to fund technology and digital innovation. With that, now let me turn it over to Mark.
Mark Chauvin: Good afternoon, everyone. Please turn to slide 13. We have had another good quarter to close out a strong year from a credit quality perspective. The increase in provision for credit losses during the quarter was attributed to one-time provisions of $34 million to account for the South Carolina floods, $18 million in provisions relating to two borrowers in the oil and gas segment and lastly an increase in incurred but not yet identified provision for losses largely due to volume growth. The full-year annual provision for credit loss rate was constant year-over-year at 34 basis points. Gross impaired loans remained stable at 58 basis points, up two basis points year-over-year. Based on current economic forecasts, we would expect 2016 performance to be largely in line with 2015. I would like to speak in more detail to two specific areas. First, this quarter we saw an increase of $140 million in gross impaired loans resulting from the renewal of legacy HELOC interest only products which are no longer offered by the U.S. bank. Let me take a minute to explain why this occurs and why we don't believe it will result in material increase in credit losses. If a customer does not qualify under current underwriting standards when their interest only HELOC comes due to renewal, we are required to classify the exposure impaired based on regulatory guidance, even if the customer is still making their payments. To put this into perspective, of the total U.S. legacy interest only HELOC impaired population, 90% are current with their payments. We expect this trend in increased gross HELOC impaired loans to continue during 2016 leveling off by year-end. Based on the current strength of the U.S. economy, increasing home prices and existing reserve levels, we do not expect to experience material increase in HELOC credit losses in 2016. Next, with respect to our oil and gas exposure, we were not surprised by the level of impaired loan formations this quarter. Ongoing analysis indicates that the oil and gas nonretail credit portfolio continues to perform within expectations, given the current level in near-term outlook for commodity prices in this sector. We are beginning to see signs of deterioration in the oil impacted provinces consumer credit portfolios, which again are well within our earlier expectations. Based on ongoing stress tests conducted against the credit portfolios, I remain comfortable that the potential impact of low energy prices on the bank's credit losses remains well within the range of a 5% to 10% increase over 2015 levels. With that, I will turn the presentation back to Colleen.
Rudy Sankovic: Sorry. Operator, can we turn it over for questions, please? So I will turn it over to you.
Operator: [Operator Instructions]. We will go ahead with our first question from Gabriel Dechaine of Canaccord Genuity. Please go ahead.
Gabriel Dechaine:
Mark Chauvin:
Gabriel Dechaine:
Bharat Masrani:
Gabriel Dechaine:
Bharat Masrani:
Gabriel Dechaine:
Colleen Johnston:
Gabriel Dechaine:
Colleen Johnston:
Bharat Masrani:
Gabriel Dechaine:
Tim Hockey:
Colleen Johnston:
Operator: Your next question will come from the line of Steve Theriault of Bank of America. Please go ahead.
Steve Theriault:
Bharat Masrani:
Steve Theriault:
Bharat Masrani:
Steve Theriault:
Tim Hockey:
Mike Pedersen:
Steve Theriault:
Tim Hockey:
Steve Theriault:
Tim Hockey:
Operator: Your next question will comes from the line of Meny Grauman of Cormark Securities. Please go ahead.
Meny Grauman:
Mark Chauvin:
Meny Grauman:
Tim Hockey:
Meny Grauman:
Operator: Your next question will come from the line of Sohrab Movahedi of BMO Capital Markets. Please go ahead.
Sohrab Movahedi:
Tim Hockey:
Sohrab Movahedi:
Mike Pedersen:
Sohrab Movahedi:
Riaz Ahmed:
Sohrab Movahedi:
Riaz Ahmed:
Sohrab Movahedi:
Operator: Your next question will come from the line of Robert Sedran of CIBC World Markets. Please go ahead.
Robert Sedran:
Mike Pedersen:
Robert Sedran:
Mark Chauvin:
Robert Sedran:
Mark Chauvin:
Robert Sedran:
Mark Chauvin:
Robert Sedran:
Operator: Your next question will come from the line of Sumit Malhotra of Scotia Capital. Please go ahead.
Sumit Malhotra:
Colleen Johnston:
Bharat Masrani:
Sumit Malhotra:
Bharat Masrani:
Sumit Malhotra:
Mike Pedersen:
Sumit Malhotra:
Operator: Your next question will come from the line of Peter Routledge of National Bank Financial. Please go ahead.
Peter Routledge:
Tim Hockey:
Peter Routledge:
Bharat Masrani:
Peter Routledge:
Bharat Masrani:
Peter Routledge:
Mark Chauvin:
Peter Routledge:
Operator: Your next question will come from the line of Mario Mendonca of TD Securities. Please go ahead.
Mario Mendonca:
Riaz Ahmed:
Mario Mendonca:
Riaz Ahmed:
Mario Mendonca:
Riaz Ahmed:
Bharat Masrani:
Mario Mendonca:
Bharat Masrani:
Mario Mendonca:
Operator: Your next question will come from the line of Darko Mihelic of RBC Capital Markets. Please go ahead.
Darko Mihelic:
Mike Pedersen:
Darko Mihelic:
Mike Pedersen:
Darko Mihelic:
Operator: And there are no further questions at this time. I would not like to turn the call back over to Mr. Bharat Masrani for closing remarks.
Bharat Masrani: Thank you very much, operator. Just to conclude, great quarter, very happy with the progress we are making in the bank, good year-over-year performance and looking forward to 2016 or a good start to 2016. So I will just take a minute to recognize some executives that you have dealt with over many years. We have new positions, new responsibilities for some of them. The first three I will mention is Riaz, Tim and Terry. I think many of you met with them and dealt with them. So I wanted to thank them for building the bank we have and looking forward to working with them in their new positions as they add even more value to the TD shareholder. And I also want to take this opportunity to thank Colleen. This is Colleen's 40th investor call, as the bank's CFO and you have dealt with her on an ongoing basis. Colleen obviously has done a terrific job for the bank. Thank you for that, Colleen. And I know you have set the bar very high for Riaz. And I am sure he will be thinking about that through the holidays. Thanks very much and I think Colleen wanted to say a word. Before I pass it on to her, in case if I don't see many of you before the holidays, Happy Holidays and the very best for the New Year.
Colleen Johnston: Well, thanks Bharat and if you will indulge me, I would just like to say that being CFO of this venerable institution for 10 years has really been a dream come true for me and I have absolutely loved it. A big part of that has been our investors and analysts. And it's been a true, true privilege to work with you as CFO. I just can't say that enough. So thank you for your trust and confidence and for your wise advice. It's actually been fun. And to my incredible team, what can I say, you are awesome and tireless and you are second to none anywhere in the world. And I couldn't have asked for more from you. So it's been a great run with more to come and I am delighted with Bharat's faith in me and the Board's faith in me as I head into my new exciting role. So thank you very much.
Bharat Masrani: Thanks, Colleen and thanks very much all. I will see you then.
Operator: Ladies and gentlemen, this concludes the conference call for today. We thank you for your participation. You may now disconnect your line. And have a great day.